Operator: Good afternoon everyone. This is Cyndi Holt, Vice President of Investor Relations, and I would like to welcome you to the Tanger Factory Outlet Centers’ Third Quarter 2016 Conference Call. Yesterday, we issued our earnings release as well as our supplemental information package in our Investor presentation. This information is available on our Investor Relations webpage, investors.tangeroutlet.com. Please note that during this conference call, some of management’s comments will be forward-looking statements that are subject to numerous risks and uncertainties and actual results could differ materially from those projected. We direct you to our filings with the Securities and Exchange Commission for a detailed discussion of these risks and uncertainties. During the call, we will also discuss non-GAAP financial measures as defined by SEC Regulation G, including funds from operations or FFO, and adjusted funds from operations or AFFO, same center net operating income and portfolio net operating income. Reconciliations of these non-GAAP measures to the most directly comparable GAAP financial measures are included in our earnings release and in our supplemental information. This call will be recorded for rebroadcast for a period of time in the future. As such, it’s important to note that management’s comments include time sensitive information that may only be accurate as of today’s date, October 26, 2016. [Operator Instructions] We ask that you limit your questions to two, so that all callers will have the opportunity to ask questions. On the call today will be Steven Tanger, President and Chief Executive Officer; Jim Williams, Senior Vice President and Chief Financial Officer; and Tom McDonough, Executive Vice President and Chief Operating Officer. I will now turn the call over to Steven Tanger. Please go ahead, Steve.
Steve Tanger: Thank you, Cyndi, and good afternoon everyone. Tanger continued to produce strong growth during the third quarter of 2016 compared to the same period of last year. AFFO increased 5.1% to $0.62 per share which was $0.03 above first call consensus and driven by lease termination fees same center NOI growth and reduced expenses. In addition, same center net operating income was up 3.6% for the first nine months of 2016 compared to the same period of 2015. We have now posted same center net operating growth in 52 consecutive quarters. Other key highlights for the quarter included starting construction of the new Outlet Center in Fort Worth, Texas and a large expansion in Lancaster, Pennsylvania and adding Tanger Outlets Savannah to our wholly owned portfolio. Our portfolio has very little exposure to reduced foreign tourism caused by the strong dollar, we continue to maintain the lowest cost of occupancy in our peer group which should help us increase rents overtime. Finally our balance sheet remains a fortress after converting $525 million from short-term floating rate debt to long-term unsecured fixed rate debt. Before I discuss our operating performance and our outlook for the balance of the year, I’ll turn the call over to Jim, who will take you through our financial results and a brief overview of our recent financing activities. Afterwards Tom will update you on our development activities. Go ahead Jim.
Jim Williams: Thank you, Steve. Positively impacted by $46.3 million gain on our previously held joint venture in the Savannah center. Third quarter 2016 net income increased 56.5% to $0.72 per share or $68.5 million from $0.46 per share or $43.6 million for the third quarter of 2015. On the year-to-date basis net income increased 63% to $1.76 per share to $168 million from $1.08 per share were $101.9 million for the same period of last year. As Steve mentioned third quarter AFFO per share was up 5.1% to $0.63 per share or $62.3 million from $0.59 per share or $59.4 million in the third quarter of 2015. On a year-to-date basis, AFFO per share increased 7.3% to $1.76 per share or $177.5 million from a $1.64 per share or $163.3 million for the same period of 2015. Tanger Outlet Savannah joined our wholly owned portfolio on August 12, 2016 when the joint venture acquired our former partners ownership interest. Serving the Savannah market since April 2015 Tanger Outlet Savannah is an upscale outlet shopping destination in Pooler, Georgia which features more than 90 brand names and designer outlet stores. The property was 99% occupied on September 30, 2016 and is currently undergoing a second expansion to accommodate retailer demand for that space. The transaction valued the outlet center at approximately $197 million for a capitalization rate of approximately 5.9% based on our 2017 forecasted property level net operating income, which excludes lease termination fees and non-cash adjustment including straight-line and net above and below market rent [ph] amortization. The joint venture distribute all of outparcels to our partner as well as $15 million in cash consideration which we funded under our unsecured lines of credit. We assumed the mortgage loans which had an outstanding balance of $96.9 million at the time. Effective as of the acquisition date Savannah is consolidated in our financial results. Previously our legal interests have been 50% since the formation of the joint venture which we accounted for under the equity method of accounting. However due to the referred contributions we made to the joint venture and the returns we earned on those contributions are estimated economic interest in the book value of the assets was approximately 98%. Therefore substantially all of the earnings of the joint venture were recognized by us as equity in earnings of unconsolidated joint ventures. 2016 has been a world win of financing transactions as Steve mentioned we have successfully executed strategy to convert $525 million of floating rate debt to fixed interest rates since the beginning of the year making our fortress balance sheet even strong. In addition to reducing floating rate debt exposure our most recent financing extended the average maturity of our outstanding debt from 4.5 years to six years expanded our unencumbered asset pool from 85% of our consolidated portfolio square footage to 92%, and increased liquidity available under our unsecured lines of credit from 45% to 81%. Since the beginning of the third quarter, we have completed two public bond offerings that raised $350 million of 10-year unsecured interest only debt at a low fix coupon of 3.125%. Initial offering of $250 million of senior unsecured notes closed on August 8, 2016 and net proceeds of approximately $246.7 million. We’ll use the proceeds from this offering to repay mortgage loans totalling $160 million unencumbering [ph] the newly acquired Westgate and Savannah properties and to pay down our unsecured lines of credit. Subsequent to the quarter end, we reopened the 3.125% senior notes series to September 2026 to issue an additional $100 million of senior unsecured notes. We completed the transaction on October 13, 2016 using the proceeds of approximately $97.8 million to pay down our unsecured lines of credit. Our total market capitalization as of September 30, 2016 was $5.7 billion up 16% compared to September 30, 2015. Our debt to total market capitalization ratio was 30% down from 32% at September 30, 2015. We continue to maintain a strong interest coverage ratio during the third quarter of 4.48 times. Looking back to the beginning of this year our floating rate exposure represented 36% of our total debt outstanding for 12% of total market capitalization. On a pro forma basis as if the follow-on $100 million bond offering had occurred on September 30, 2016 our floating rate exposure would have been $228 million representing only 13% of our total debt or 4% of our enterprise value. We have raised our dividend by 14% in April. We have raised our dividend each of 23 years as becoming a public company in May of 1993 and have paid a cash dividend for 93 consecutive quarters. Our dividend is well covered with an expected FFO payout ratio for 2016 in the mid 50% range. At these levels, we expect to generate more than $100 million in excess cash flow over our dividend which we plan to continue to reinvest in our business by upgrading our properties and funding most of our development needs. Our conservative mindset has served Tanger well throughout 35 years of economic peaks and valleys. Maintaining a fortress balance sheet and investment grade credit is our way of life. Financial stewardship is a hallmark of Tanger outlets that we do not intend to change. I will now turn the call over to Tom.
Tom McDonough: Thank you, Jim. We remain optimistic about the future of the Tanger Outlet business. Our reputation with retailers of having a quality portfolio of outlet centers and our fine skill set for developing, leasing, operating and marketing them has afforded us a robust external growth pipeline. In 2016, we will expand that footprint by 5% by opening two net outlet centers. The two centers represent a combined total investment of approximately $185 million with an expected weighted average stabilized yield of approximately 10.3%. Our net capital requirement for these projects is expected to be $137.5 million of which only about $35.6 million remained to be funded as of September 30, 2016. The first of these two centers opened 96% leased in the Columbus, Ohio market on June 24. Next month we will open the newest Tanger Outlet Center in Daytona Beach, Florida. When complete this 352,000 square-foot wholly owned center will feature over 80 brand name and designer outlet stores. Currently we expect to open the center approximately 95% leased on November 18 as planned. During the third quarter, we commenced construction of a new wholly owned outlet center in the Fort Worth, Texas market. And also a major expansion of our outlet center in Lancaster, Pennsylvania both of which we plan to deliver in 2017. Combined these 2017 projects represent a total investment of approximately $138 million with an expected weighted average stabilized yield of 9.3%. Approximately $113.8 million remained to be funded as of September 30, 2016. We acquired the land for our Fort Worth, Texas development on September 30, 2016 and held an official groundbreaking ceremony for the project on October 6, 2016. The center will be located within the Champion Circle mixed-use development adjacent to Texas Motor Speedway. Champion Circle is currently home to Marriott Hotel and conference center and 18 hole Championship Golf Course, a Buc-ee’s Mega Travel Center and over 200 residential units. Future expansion plans announced by the mixed-use developer include up to 2 million square-feet of office space, a large power center and up to 680 additional residential units. Texas Motor Speedway hosts more than 1,300 events annually including two Nascar Sprint Cup race weekend and one IndyCar Series race weekend. Currently we anticipated a holiday 2017 grand opening for this new 352,000 square foot outlet center which will feature more than 80 brand names and designer outlet stores when complete. In Lancaster, Pennsylvania site work has begun on a major expansion that will increase the size of the center by 123,000 square feet and add over 20 new brand name and designer outlet stores. Currently we plan to complete this expansion during the third quarter of 2017. In addition, work is ongoing for other predevelopment stage sites in our shadow pipeline, which we plan to announce upon successful completion of our underwriting process. Currently we expect to continue to deliver on average one to two development projects annually. I will now turn the call back over to Steve.
Steve Tanger: Thanks, Tom. Blended base rental rates increased 20% during the first nine months of 2016 on top of 24.5% increase during the first nine months of 2015. These renewals during the quarter accounted for approximately 1, 56,000 square feet or about 74% of the space coming up for renewal and generated a 16.7% average increase in base rental rates. Re-tenanting activity accounted for the remaining 368,000 square feet of executed leases and generated an average increase in base rental rates of 28.4%. With the lowest average tenant cost ratio among the high quality mall REITS at just 9.3% of our consolidated portfolio in 2015. We have been successful at raising rents while maintaining a very profitable distribution channel for our tenant partners. Over the last several years, we have successfully implemented leasing strategy to give tenants fewer and shorter renewal options to increase the number of leases with annual rent escalations and to convert pro rata CAM to fixed CAM. Our rent spreads at lease expiration have narrowed slightly as a result of our ability to capture base rent growth and to increase CAM reimbursements annually throughout the lease term, rather than waiting until the end of the term. These embedded base rent and CAM escalations during the term of our leases are key drivers of our same center net operating income growth. Same center NOI increased 2.6% during the quarter on top of 3.3% increase in the third quarter of 2015. On a year-to-date basis, same center NOI increased 3.6% on top of 3.9% increase for the first nine months of last year. In addition, portfolio NOI for the consolidated portfolio increased 6.1% and 6.9% respectively for the third quarter and for the first nine months of 2016. Like same center NOI is property level net operating income excluding lease termination fees and non-cash adjustments like straight-line and net above or below market rent amortization. Lease termination fees were approximately $1.5 million and $3.5 million respectively during the third quarter and first nine months of 2016 compared to $1.6 million and $4.4 million respectively during the third and first nine months of 2015. During the third quarter of 2016 traffic at several of our centers was negatively impacted by major weather events. During August our center in Gonzalez, Louisiana was closed all were part of six consecutive days due to devastating and flooding and subsequent curfews being enforced in the region. Hurricane Hermine negatively impacted seven centers over Labor Day weekend including allocations in Charleston, South Carolina two in Hilton Head, South Carolina, two in Myrtle Beach, South Carolina, Nags Head, North Carolina and Savannah, Georgia. These eight centers comprise about 20% of the total square footage of our consolidated portfolio. Despite a 2% decrease in traffic for these centers during the third quarter, our overall portfolio traffic was stable for the quarter and excluding these centers was up over 1%. Price deflation remains prevalent in the apparel and shoe business, which make up a large percentage of the outlet industry. We do not have Apple or Tesla stores, nor do we have large department stores. In this heavily promotional environmental average tenant sales within our consolidated portfolio were stable at $3.95 per square foot for the trailing 12 months ended September 30, 2016 excluding the eight weather impacted centers, including the weather impacted centers, average tenant sales were $3.90 per square foot for the trailing 12 months ended September 30, 2016 down about 1% compared to the 12 months ended September 30, 2015 in spite of our comparable traffic being up for the same period. Two new centers Brand Rapids in Savannah rolled into the consolidated portfolio average tenant sales per square foot metric this quarter. Initially these centers do not typically exceed our portfolio average, but in the first several years have the potential for strong tenant sales growth. Westgate is a good example of this having started out below our portfolio average in the first quarter of 2014 and growing to current productivity which is ranked in our top 10 centers. Given these various headwinds we are pleased that exclusive of the impact of these major weather events, tenant sales productivity has been in line with our initial guidance which assumes stable tenant sales. In fact, a lot of tenants are posting strong year-to-date increases in our portfolio including Elie Tahari, Theory, Francesca’s, Columbia Sportswear, Converse, Van Heusen, Vans, Adidas, Nike, Vera Bradley, Movada, Calvin Klein, Kate Spade, Levis, Michael Kors, Pandora and many, many more. Our consolidated portfolio was 97.4% occupied as of September 30, 2016 up 20 basis points from 97.2% on September 30, 2015, and up 50 basis points from 96.9% at June 30, 2016. Based on what we know today we expect year-end occupancy to be between 97.5% and 97.7%. We are increasing our 2016 diluted net income per share guidance range to $2.02 to $2.06 per share from $1.55 to $1.60 per share. This increase is primarily due to large gain recognized on the Savannah transaction during the third quarter. We are refining our FFO and AFFO guidance to $0.04 range and are raising guidance per each by $1.50 at the midpoint driven primarily by better than expected results during the third quarter. We currently expect 2016 FFO to be between $2.33 and $2.37 per share and AFFO to be between $2.34 and $2.38 per share. At the midpoint this range represents an AFFO growth rate of 6.3% compared to 2015 despite the $0.08 per share negative impact resulting from the sale of several non-core assets in late 2015 and early 2016. Excluding this dilutive impact, the midpoint of our new AFFO per share guidance range represents a 10% growth rate. We are also raising our guidance for same center and operating income growth by five basis points at the midpoint through an expected range between 3.1 and 3.5 for the full year. This new range reflects slight out performance of our forecast during the third quarter, but also takes into consideration the projected fourth quarter impact of our plan remerchandising activity at a number of our centers, the bankruptcies of Aeropostale and PacSun and the closure of all of the Jos. A. Bank stores. During the quarter Aeropostale and PacSun bankruptcies and the brand wide Jos. A. Bank closings resulted in 12 store closures within our consolidated portfolio totalling only 41,000 square feet or about 0.3% of consolidated square footage and 0.4% of our base annual rental revenue. As of September 30, our total consolidated portfolio exposure to these three tenants was 168,000 square feet or about 1.4% of the consolidated portfolio square footage. Based on what we know today and subject to the final outcome of bankruptcy proceedings, we are projecting that we will recapture approximately 54,000 additional square feet including 34,000 feet during the fourth quarter of 2016 and 20,000 square feet in the first quarter of 2017. The total additional space which we currently expect recapture from these tenants constitutes only about 0.4% of our consolidated portfolio but within terms of square footage and annual base rental revenue. The total space we expect to recapture related to bankruptcies and brand wide store closings in 2016 is about 94,000 square feet which is smaller than a single Macy’s store, which have an average footprint of about 150,000 square feet. To further support this assertion compared to 2016 expectations last year, we recaptured significantly more space related to bankruptcies and brand wide store closing in 2015 about 157,000 and our occupancy is up compared to a year ago. Tanger’s ongoing long-term strategy to provide the consumer with the best overall shopping experience, so we strive to perpetually upgrade our tenant mix to position our centers for long-term net operating income growth. These store closings provide us with an exceptional opportunity that execute our strategy to release vacant space to better credit higher volume tenants. The popularity of outlets was shoppers and our lost cost of occupancy, are attractive to retailers which is kept our occupancy high throughout our history. We are pleased with the settlements we have reached with bankrupt tenants in 2016 which are reflected in our revised same center net operating income guidance. The negotiating of these settlements we took into consideration geoeconomics, sales performance, tenant mix and occupancy on center-by-center, lease-by-lease basis. Well some of the stores have closed or expected to close and a few others will be granted short-term rent concessions. The remaining stores are expected to remain in place with no change in rent. Our forecast assumes tenant sales remain stable exclusive of the projected net impact of Hurricane Matthew at seven Tanger centers each of which was closed between two to six days in October, due to weather and mandatory evacuation orders. Fortunately, our employees and those that work in retail stores of these centers were safe and largely out of harm’s way. Property damage was minimal and we have adequate property insurance coverage. Our estimates are based on average quarterly general and administrative expense of approximately $11.4 million to $11.9 million. Average projected management leasing and other service income were approximately $1 million per quarter and do not include the impact of any additional bankruptcies or store wide store closings or brand wide store closures. The sale of any additional outparcels properties or joint venture interest for the acquisition of any properties or any additional joint venture interest. We remain optimistic about the growth prospects of our company and shoppers continue to see Tanger’s unique shopping experience and a wide array of brand name merchandise direct from the 80 to 90 manufacturers that operate stores each Tanger Outlet Center. The tenant community continues to indicate it’s desire to expand into new markets within in the profitable outlet channel and with Tanger as a preferred partner. The resiliency of the outlet channel has been proven over the 35 years through many economic cycles. We have more than 3,100 long-term leases with good credit, brand name tenants that have historically provided a continuous and predictable cash flow in good times and in challenging times. No single tenant accounts for more than 6.3% of our base and percentage rental revenues for 7.6% of our gross leasable area. In addition approximately 91% of our consolidated portfolio square footage is unencumbered. Approximately 90% of our total revenues are expected to be derived from contractual base rents and tenant expense reimbursements. Now I’m out of breath and I’m happy to open the call for any questions that you may have. Operator go ahead.
Operator: [Operator Instructions] Your first question comes from the line of Todd Thomas from KeyBanc Capital Markets. Your line is open.
Todd Thomas: Just first question, for the space that you recaptured this quarter and what you expect to recapture over the next two quarters how much of that has been released and how much downtime do you anticipate for that space that you’ll be getting back?
Steve Tanger: We tend to look at as a total portfolio. Bankruptcies and store closings have been part of our - part of the retail history as far back as one can remember. As I mentioned before, we’re over 97% occupied now and we were that way last year. We had more store closures last year than we have this year. So we’re constant communication with the whole range of tenants to fill space and I can’t give you a space-by-space, tenant-by-tenant but we have given you guidance that we expect to be between 97.5% and 97.7% occupied at the end of this year which takes into account that turnover.
Todd Thomas: Okay, how long typically does it take to re-tenant that space so when you get that back.
Steve Tanger: Fortunately the bankruptcy proceedings take a long time and we get sales reports from most of our tenants almost every month. So we know when a tenant is not performing well and we can make plans accordingly. So we are in the process of re-leasing the space. It could take anywhere from a week, Todd if we had the space re-leased and the tenant goes in and takes occupancy to build up a store to six months. It just depends on where it is and how much advance notice we have, but again we look at the cash flow we generate, our portfolio NOI is growing significantly and we don’t see any reason for that to stop and our occupancy remains up. So this is part of normal process in any retail landlords portfolio.
Todd Thomas: Okay and then as you look at the portfolio today. Clearly there is a lot of demand from retailers for outlet space and a lot of new entrants but there have been some exits as well you know in the past, last couple of years there’s been a handful Jos. A. Bank now. Does it seem like there may be slightly higher turnover going forward perhaps as retailers continue to re-tool [ph] their footprints and distribution channels a little bit.
Steve Tanger: I don’t think so, I think if you look at the tenants we had five years ago and 10 years ago. We couldn’t build the center without Liz Claiborne as an anchor and now Liz Claiborne is no longer a brand that’s sold in retail stores. So it’s just the normal evolution of retail brands, no brand is hot forever. I think you can see in Wall Street Journal today. And Apple has been one of hottest most popular brand names for many years and now they don’t seem to be as popular as they used to be. It’s just the normal evolution. Again I don’t want to be redundant but please look at the big picture of our portfolio which remains 97.5% occupied and by the way, we’ve never ended the year less than 95% occupied in the 35 years we’ve been in business.
Todd Thomas: All right and just a quick last question for Jim. The FFO guidance increased penny and a half at the midpoint, where are you running ahead compared to your expectations, was there anything specific that you can point to in the quarter?
Jim Williams: Todd, the biggest impact there was lease termination fees that came in through the first nine months of the year, so that’s built into our guidance. We’re taking that into consideration a slight beat [ph] in our same store NOI but also taken into consideration that we’re getting a little bit more stores back in the fourth quarter, remerchandising activity we’re doing and being aware of the other Hurricane that came through in October, Hurricane Matthew and so we’re being - we’re pretty comfortable with raising it by a penny and a half and then we’ll see what happens.
Todd Thomas: All right, thank you.
Operator: Your next question comes from the line of George Hoglund from Jefferies. Your line is open.
George Hoglund: Just based on your conversations with retailers, so you just think about on current conversations in terms of how many are actually asking for rent reductions or some sort of lease amendment relative to last year kind of how does that seem on a year-over-year basis as a more or less and then also does that seem to be currently accelerating or decelerating those discussions, relative to quarter or two ago?
Steve Tanger: As we’ve mentioned before bankruptcies and store closings this year are significantly less than they were in 2015. And we ended this year with our occupancy up, even after all those store closings compared to last year. We don’t get the sense that the bankruptcies are accelerating and we don’t get the sense that store closings are accelerating just for that reason.
George Hoglund: Okay, thanks.
Operator: Your next question comes from the line of Jeremy Metz from UBS. Your line is open.
Jeremy Metz: Steve, in terms of leasing, some of the folks that appear in your top tenants list have talked about impacts on their businesses from declining outlet traffic on some recent earnings calls. In your opening remarks, you talked about traffic being flat or up if we exclude some of the weather-related properties. So I was just wondering on the disconnect, is it a little more brand specific in your view versus any overall issue with outlet traffic?
Steve Tanger: I think it is brand specific, we have 425 or so tenants. I’ve told you that the traffic in our portfolio continues to show increases even in spite of major weather events non-recurring weather events and evacuation orders. So we’re very pleased that our aggressive marketing through all different channels and social media is continuing to drive traffic. Now our job is to put traffic onto the sidewalks and our tenants are very good at driving traffic from our sidewalks into their stores, some obviously more successful than others. But the quicker answer to your question is, it’s brand specific and I’ve given you our company traffic increases.
Jeremy Metz: Okay, and just switching gears to the development pipeline. Tom, you had talked about a decently healthy shadow pipeline, which should result in one or two projects per year. This in line with some prior commentary you guys have talked about. You also kicked off the expansion at Lancaster. So as you guys look at the portfolio today, do you see additional opportunities to supplement that one to two ground up projects a year with some additional redevelopment or expansion projects, on a more go forward basis?
Tom McDonough: No, I think if we said consistently we do project one to two a year. I don’t see anything that would indicate that number should be greater or less than what we’ve committed to in the past, we’re excited about the pipeline we have but we think it will be one to two a year.
Jeremy Metz: So one to two ground up or expansion.
Tom McDonough: Right.
Jeremy Metz: Okay and then.
Steve Tanger: I just want to add to that the properties we opened this year opened 95% leased and the properties we opened last year opened 95% leased. That’s pretty extraordinary in retail development or any type of development to open day one with that high percentage of leased assets.
Jeremy Metz: Appreciate the color, thanks guys.
Operator: Your next question comes from the line of Kristin Converse from Citi. Your line is open.
Kristin Converse: Steve just wanted to follow-up on a comment you made about granting short-term rent concession about some of the bankruptcy tenants, can you quantify what the impact of those concessions were in Q3, did that blow into the re-leasing spreads that you post in your supplemental and what exactly do you mean by short-term and does it revert back to normal or is it just the short-term lease?
Steve Tanger: Let me try to answer one at a time. The any impact of any lease amendments is reflected in our comp NOI, so that’s included in there and the short-term nature we take it store-by-store, property-by-property, tenant-by-tenant and they vary all over the map. It could be short-term to three months, it could be short-term for six months. But these are not long-term lease amendments, we’re just trying to be helpful to some of our tenant partners to get them through a tough time, once they stabilize their business we expect the rent to go back to normal.
Kristin Converse: They’re reflected in your comp NOI but if I look at the re-leasing spread numbers on Page 11 in terms of the base rent, are they reflected in those re-leasing spreads.
Steve Tanger: They’re reflective through the end of the third quarter and obviously through year-end at the end of the year as we reflected in yearend.
Kristin Converse: Okay and then just wanted to follow-up on some of the comments we made on your effort to boost both CAM and contractual rent. Your re-leasing spreads obviously are based on base rents, do you have a sense for what your spreads would be on a gross rent basis, so just thinking about if I include CAM and get your gross rent, what would be the, just to get a better sense for the total impact of those effort and then in the contractual rent, can you say what your increased contractual rents are versus where you’re signing new leases?
Steve Tanger: We don’t get that [indiscernible] Kristin I think you should look at the overall, the big picture of how we drive the business and increase cash flow. We’re driven by how much cash flow we can increase from the same square footage of our assets and I think we’re doing a pretty good with that and keeping our balance sheet a fortress. Whatever it’s all baked into the same comp NOI increased portfolio NOI increases.
Kristin Converse: Okay and then maybe just one last big picture well then to following the buy-in with Westgate and Savannah. How are you thinking about maybe additional buy-in with some of the other JV interest, was there any other opportunity there do you think?
Steve Tanger: We’re blessed with high quality, very professional partners. Right now we’re not in any discussions to buy-in any additional partnerships. But business plans change overtime and we want to be opportunistic buying an existing partnerships you reduce the risk because obviously you know the property intimately and some of our partners business strategy has changed and wanted to monetize their investment. But our existing partners and ourselves have not had any discussions to change the partnership structure at this time.
Kristin Converse: Great, thank you.
Operator: ‘ Your next question comes from the line of Craig Schmidt from Banc of America. Your line is open.
Craig Schmidt: I just wondered beyond buying in JV partners, there seem to be any opportunity for acquisitions beyond that.
Steve Tanger: Hi Craig, we constantly monitor any properties that are on the market for sale. We talk to the handful of properties are in private hands that we would like to own. But right now, we’re not in any discussions nor do we anticipate buying any centers.
Craig Schmidt: Okay and then about general question. I realize the devil is in the details but is there generally an optimal size for outlet shopping center. I’m just noticing that Fort Worth is opening around 352 with the expansion Lancaster’s 364 and your average consolidated portfolio is about 364 as well. I just wondered if you have a sense that there was on average an optimal size for a center.
Steve Tanger: Craig I think your analysis is correct. We are - our new centers are in the range of 350,000 square feet which gives the consumer around 80 to 90 different world class brand and designer names to choose from and our strategy may differ from other developers but we’re comfortable with that size center being built. A lot of our centers have additional land that we can either turn into other usage through outparcels or expand the center if it’s successful overtime.
Craig Schmidt: Great, thank you.
Operator: And your next question comes from the line of Carol Kemple from Hilliard Lyons. Your line is open.
Carol Kemple: We were happy to see your occupancy growth from the second quarter especially given the store closings that you all talked about, can you just name what retailers are assigned new leases during the quarter or if you don’t want to do that, what type of retailers they were apparel, footwear, house ware?
Steve Tanger: Hi Carol, thanks for commenting positively on the increase in our occupancy. We were very pleased with that also. Fortunately we execute leases with a range of tenants in almost all the categories you mentioned some designer, apparels, some shoes, some actually jewellery and some other uses. So we have in most of our centers when you’re 97.5% or 97.4% occupancy a lot of our centers are 100% occupied with waiting list. So we have a group of our leasing folks are talking to the best brands in the world and we’re fortunate to be able to have them come into our properties.
Carol Kemple: Okay, thank you.
Operator: Your next question comes from the line of Michael Muller from JP Morgan.
Michael Muller: Steve, I may have gotten this wrong but I thought I heard you say that this part of Savannah transaction that your partner got the outparcels, was that correct?
Steve Tanger: Yes that’s correct.
Michael Muller: And is that typically what happens when you do a partner buyout where the partner will end up with that or was that just different for some reason?
Steve Tanger: This was different. Our partner was a highly skilled developer in the Savannah, Atlanta market and we had - the size of the property was larger. The amount of acreage that he bought before he brought us in was more than we would normally buy. He’s very adept and an expert at selling outparcels. So we use that as part of the currency plus $15 million in cash to buy his interest and the sale of outparcels by our form of partner helps both of us, it adds more life and traffic to the market without distracting our leasing people from their goal of keeping the outlet center full. Outparcel transactions by their nature take significantly longer to conclude than a lease in an outlet center. So we would rather focus our folks generating as much cash flow as they can quickly as oppose to diverting their attention to longer term potential outparcel users.
Michael Muller: Got it, okay. That was it. Thank you.
Operator: Your next question comes from the line of Lawrence Filton from Balling, Shilling & Filton.
Lawrence Filton: Steve, question. Could you maybe talk about the trends in the outlets also maybe is there a trend in the outlets towards greater foods just like there is in the malls and what are you doing to address that itself?
Steve Tanger: There is not a trend in the outlets or more food used as there is in the malls. The highest and best use for our square footage which is I mentioned earlier about 350,000 square feet is through retail tenants, they are the most stable, high quality, good credit tenants. We have food users spaced throughout the centers not necessarily in a food court and our business is primarily Thursday through Sunday afternoon and primarily lunch and maybe an early dinner. So it’s difficult for restaurants and foods users to generate the volume that they need. So it is not, it’s not proven to be a good use for our limited space and that’s our strategy which may differ from the mall space, the malls which have on average 900,000 square feet to fill, we have a different strategy.
Lawrence Filton: Okay. And a follow-up question to one that was asked earlier about expansion possibilities and talking about the ideal size of your centers. Some of your higher-end centers appear to potentially be able to support higher or more square footage. I'm thinking about the Mebane outlets, and the National Harbor potentially. Are there specific expansion possibilities in these higher productivity centers?
Steve Tanger: There are small expansion possibilities in both Mebane, North Carolina and National Harbor which is outside of Washington. National Harbor we’re waiting the opening of the MGM Casino and we prefer to keep our space as close to 100% occupied as possible and not overbuild. Mebane and National Harbor now are stabilized high occupancy, high productivity centers and we’re exploring the option of expanding them at appropriate time. A good example is our large expansion in Lancaster, Pennsylvania. It’s one of our highest productivity centers and it allows the expansion at 122,000 square feet or so allows us to further dominate the market and attract 20 to 25 more of the upscale tenants that will solidify our position. So we constantly review every one of our properties to see where expansion capacities might be, but we certainly don’t want to overbuild.
Lawrence Filton: Great, thanks.
Operator: There are no further question at this time. I’ll turn the call back over to the presenters.
Steve Tanger: I want to take the opportunity to thank everybody for participating in the call today and your interest in Tanger Outlets. We look forward to seeing several of you or all of you hopefully at REIT World and on our upcoming non-deal roadshows and come on down Daytona Beach, Florida for our grand opening in a couple weeks. Thank you all. Good bye.